Operator: Good morning. My name is Chris, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the TimkenSteel, Third Quarter 2015 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. Tina Beskid, Director of Investor Relations, you may begin your conference.
Tina Beskid: Thank you, Chris. Good morning and thank you all for joining TimkenSteel's third quarter 2015 conference call to discuss our financial results. I'm joined by Tim Timken, our Chairman, CEO and President; as well as Chris Holding, Executive Vice President and Chief Financial Officer. During today's conference call we may make forward-looking statements as defined by the SEC. These statements relate to our expectations regarding future financial results, plans and business operations among other matters. Our actual results may vary materially from those projected or implied due to a variety of factors, which we describe in greater detail in today's press release, supporting information provided in connection with today's conference call and in our reports filed with the SEC, all of which are available on the timkensteel.com website. Where non-GAAP financial information is referenced, we have included reconciliations between such non-GAAP financial information and its GAAP equivalent in the press release and/or supporting information as appropriate. Today's call is copyrighted by TimkenSteel Corporation. We prohibit any use, recording or transmission of any portion of the call without our express advanced written consent. There will be an opportunity to ask questions at the end of Chris' prepared remarks. Now, I would like to turn it over to Tim.
Tim Timken : Thanks Tina. Good morning and thank you for joining us. The third quarter was filled with twists and turns for TimkenSteel. While we initially estimated that we might lose up to $15 million of EBITDA in the quarter, shifting market conditions early in the period forced us to change our view and revised guidance to an EBITDA loss of $30 million to $40 million. As you saw in the release yesterday, we came in at the low end of that range. While this performance falls well short of where we would like to be, it does reflect a lot of hard work on the part of our team here at TimkenSteel to tackle significant market challenges. I would like to take a couple of minutes to highlight what’s gone on in the quarter, including some of the steps that we’ve taken to respond to a changed marked outlook. So what happened since we last talked? We anticipated a difficult third quarter due to continued weakness in energy and some industrial end markets, but the impact was deeper than expected. As we moved through the third quarter, operating with historically short lead times, we began to see additional changes in our industrial base. As market conditions further eroded, excess inventory levels worsened and customers accelerated destocking efforts. Market indicators also showed signs that the recovery would not come quickly. Global commodity markets and industrial machinery remained low and rail bills dropped. On the other hand, automotive markets continue to run at near record levels. We expect current conditions, both good and bad to continue through this year and into 2016 which led us to take further actions. As is always the case, but particularly in challenging markets with low demand and pressure from imports, we are staying very close to our customers, which has helped us hold market share across all of our segments. In our mobile markets we are not just maintaining business; we’re winning new platforms based on our value added model. While our sales force is doing an excellent job, we recognize that aggressively managing our costs during this period is just as important as making the sale. As you will recall, we announced a wave of cost reduction in the second quarter that had a target of $25 million in annualized savings, which have already made a positive impact on our operating results. Most of these savings were generated by aligning cruise to a softer order book, with the remainder coming from organizational changes and other reductions. This week we initiated the second round of cost reduction actions, which will yield an additional $50 million in savings. While I believe that we did a solid job in setting up the business just over a year ago, there is always room for improvement. We challenged the entire organization to think differently about how we spend our shareholders money. Our people have risen to the challenge and the series of announcements that we made this week will realign the business and will ultimately allow us to emerge from this current period stronger than ever. In the fourth quarter we will realign my management team by consolidating our customer facing functions under a single head, Shawn Seanor. Bob Keeler has decided to retire after 36 years of significant contribution to TimkenSteel and I’d like to personally thank him for his service. In addition, we will reduce management and other salaried headcount by 8% through a mix of voluntary and involuntary layoffs, which will further streamline our structure to eliminate approximately 90 salaried positions. We will also continue to synchronies our operation with the order book, reducing headcount and operations another 30 people. Through both rounds of reductions this year we’ll reduce headcounts by 380 positions. While generating savings is critical, we also recognize that cash is kind, especially during times like these. Our sales team is activity leveraging our investment in new capabilities to service customers and we remain committed to organic growth. However, we are going to prudently manage additional investments at this time, which includes delaying the startup of our advanced quench-and-temper facility until market conditions give us the opportunity to achieve the best return on that investment. In addition, we’ve taken inventory down much faster than in previous cycles, while still maintaining customer levels. While we remain committed to paying dividends, our Board will consider the dividend level as part of their normal capital allocation discussion. At this point we don’t anticipate any addition share repurchases in the fourth quarter. As I have met with many of you over the last three to four months, you’ve heard me say it, that we’ve been here before, we know what to do and we are doing it aggressively. We are taking the right actions not only to get us though this trying time, but to emerge even stronger. At this point I’m going to turn it over to Chris who will walk you through the financials.
Chris Holding : Thank you, Tim and good morning on the phone. Net sales in the quarter were $233 million, comprising base sales of $202 million and surcharges of $31 million. Weak demand from North American oil and gas markets, coupled with other commodity driven impacts on our industrial business were the primary driver of our results. Shipments of 179,000 tons were 16% lower than the second quarter. Base sales per ton held up well in the quarter despite a shift in end-market demand and product mix. We expect these market dynamics to continue into the fourth quarter. The impact from lower volumes resulted in a $49 million EBITDA loss for the quarter. Manufacturing costs were unfavorable due to low melt utilization of 40%, which was driven by fixed cost de-leveraging and inventory reduction efforts. Maintenance costs were $7 million higher than the second quarter as we completed the majority of our seasonal plant maintenance activities. We anticipate operating below 40% melt utilization in the fourth quarter. Scrap prices were relatively stable throughout the third quarter. As we discussed in our previous conference calls scrap prices impact our results because of the timing associated with our customer surcharge mechanism. Sequentially raw materials spread was $10 million better than the second quarter of 2015. EBITDA for the quarter was a loss of $31 million. Included in the loss is $8 million of non-cash charges related to energy inventory valuation and asset impairment. For the third quarter of 2015 we generated a net loss of $31 million or negative $0.69 per share. The income tax rate was 38.2% and we expect it to remain around 38% for the full year of 2015. Turning to segment performance, our industrial and mobile segment sales were $180 million for the quarter, which is 11% sequential decline. We continue to see strength in the mobile side our business, as the North American light vehicle production rate is on pace to meet the 17.5 million vehicle sales forecasted for 2015. Industrial end markets are more challenging as they continue to be negatively impacted by weak global commodity markets. Industrial ship tons declined by 25%, compared to the second quarter this year. In the Energy & Distribution segment, sales were $45 million for the quarter or a 34% decline sequentially. U.S. rig count declined more than 50% since last year and have significantly impacted our Energy & Distribution business. Energy shipments dropped 32% sequentially and customer inventory levels remain inflated due to the speed of the market decline. Shipments to industrial distributors declined 31% sequentially due to reduced demand from mining and industrial equipment end markets. Additionally customer purchases made in the first and second quarters of this year resulted in higher investors within the channel. Distributors continued to adjusted inventory levels to match demand expectations. We generated $26 million of cash from working capital this quarter as we reduced inventory and associated spend in line with demand. We’ve been pleased with the pace of our working capital reduction efforts and we plan to further reduce inventory in the fourth quarter. Capital expenditures during the first nine months totaled $53 million, with 40% of the spend going to growth projects. We estimate full year 2015 capital spending will be about $75 million, which is a $5 million reduction from previous guidance. Capital expenditures for the fourth quarter are higher than the year-to-date run rate primarily due to project timing. As Tim commented in his remarks, we have decided to delay the start-up of advanced quench-and-temper facility to align with market demand. Total debt increased by $30 million in the quarter to $205 million and our net debt to capital ratio is 19.5%. Due to the recent losses, we anticipate not being in compliance with our interest coverage loan covenant at the end the fourth quarter. We have been in discussions with our lenders regarding refinancing of our existing debt facilities, which will result in covenant release. We feel confident that the refinancing will be successful concluded in the fourth quarter. In July 2014 our Broad of Directors authorized a 3 million share repurchase program over a three year period. In the third quarter we purchased 611,000 shares at an average price of about $20 per share for $12 million. We do not anticipate repurchasing shares in the fourth quarter. Turning to the outlook for the fourth quarter, we expect industrial and mobile shipments to be about 10% lower compared with the third quarter due to the seasonal impacts in automotive and industrial end market weakness from global commodity markets. In the energy and distribution segment we expect that the current market dynamics in oil and gas will not change for the fourth quarter and as a result expect shipments to be about 20% less than the third quarter. Given the lower volumes and the headwinds for raw materials spread due to recent decline in the Busheling Index, we expect EBITDA to be a loss of between $25 million and $35 million. The cost reduction actions implemented last quarter came in better than anticipated, but were not enough. As Tim discussed, we have initiated another around of cost reductions, which will generation another additional $50 million to savings in 2016. This ends our prepared statements and we will now take your questions.
Operator: [Operator Instructions]. And the first question is from Novid Rassouli with Cowen. Your line is open.
Novid Rassouli: Good morning guys. Thanks for taking my questions. So it looks like based on the slides that you have down rated your view on machinery and rail since the last quarter conference call. So I just want to see if you’re seeing a deterioration on the industrial side that’s accelerating or if you could just give us some color around those markets.
Tim Timken: Yes, let me take a first cut at that and I’ll ask Chris to add any commentary as well. Obviously one of the things we have seen as we’ve gone from the second quarter into the second half of the year is really the influence that the low oil and gas markets have had on the rest of industrial America and that’s where you are beginning to see the impact on machinery side of things. Obviously you also have the mining markets staying low, which will impact that as well. So I’m not sure it’s getting dramatically worse, but obviously it is not good at this point. Rail, I think we are just coming off a big rail bill and so we’ve seen that begin to soften. You are hearing other people who touched the space say the same thing. I don’t see the traditional boom and bust in rail, but certainly we’ll come off of some relatively high levels.
Novid Rassouli: Okay and then on pricing, it looks like Industrial and Mobile base prices were essentially flat sequentially, while energy and distribution did see some downside. I’m assuming due to the higher spot exposure. So I guess regarding new contact pricing, can you walk us though important dates with respect to contract negotiations and when we might see that reflect in the P&L.
Tim Timken: Yes. We are kind of right in the heat of battle at this point. We generally start our contract negotiations in October, November. Try to wrap as many of them up by the end of the year, but we got a couple that drag on into first part of January. I would say those discussions are going well. Obviously it’s a pretty dynamic time in the market place with a lot of capacity looking for a home, but our sales folks are doing what they need to do, so. Obviously we can’t say anything now, but as we get into our fourth quarter call we’ll be able to give you a lot better idea of what we’re seeing in the marketplace.
Novid Rassouli: Great, and then just one more question from me. As far as lead times I think the last time we checked in it was about five weeks on bar and eight weeks on tube. I just want to see – I’m assuming we’re relatively close to those levels still.
Tim Timken: Yes, it’s about the same. I mean obviously we’re being opportunistic when we find business out there, but yes, those are still relatively good numbers.
Novid Rassouli: Great, thanks.
Tim Timken: Thanks.
Operator: The next question is from Russell Filipski with Litespeed. Your line is open.
Russell Filipski: Hi Tim, how are you?
Tim Timken: Good. How about yourself?
Russell Filipski: Good. Just a question on the CapEx. So on the quarter it’s about $18 million and for 2015 you guys are guiding for about $75 million in CapEx. Now obviously you said maintenance is about $45 million to $50 million. I’m just curious given the uncertainty in the energy side, some of the weakness on the industrial side, if it’s prudent to reduce that further so you kind of increase the cash available to the company.
Tim Timken: Well obviously we’ve got a couple of months left in the year. We’ve got some program spending that we’re wrapping up and as we begin to look at 2016, we’ll look at that pretty aggressively. Chris, you want to add anything to that?
Tim Timken: Yes, historically what you find in our business is that so much of the capital spend is back loaded. So the items that we can take out for 2015 we have and as you mentioned for 2016 CapEx will be on our radar in terms of one of the things we tried to improve upon.
Russell Filipski: Sure, great. I mean you guys did a great job being able to liquidate working capital where you could and generating CFO in a pretty tough quarter. Just to know if you would spend a little bit less on CapEx in the quarter, it would have looked even better. So I was just making sure what the flexibility was there.
Tim Timken: Yes, we’re aggressively managing at this point and again, as we begin to lay out 2016 we’ll have a pretty sharp pencil.
Russell Filipski: Okay, and then just maybe another follow-up. I mean you guys said you guys are working closely with customers to win new business, so where are you winning new business or what is that business – where is it being found? Is it industrial or is it in energy, like it’s primarily on the upstream side of the energy business can you find stuff in the midstream area where maybe the growth isn’t as daunted.
Tim Timken: Yes, again we look at all of our end markets opportunity to grow. Right now we’re seeing good platform growth on the automotive side of the business. These are driven by the new engines and transmissions that we’re seeing introduced in the marketplace, so we continue to expand there. On our other markets, oil and gas, as you point out there is still some activity out there and we continue to take our value added model into that space and then obviously industrial is a little bit of everything and we got a very sharp eye on those markets as well, so it’s really across the board.
Russell Filipski: Okay, great. Thank you for your time.
Tim Timken: Thanks.
Operator: [Operator Instructions] And your next question is from Justin Bergner with Gabelli & Company. Your line is open.
Justin Bergner: Good morning.
Tim Timken: Good morning.
Tim Timken: Hey Justin.
Justin Bergner: Hi Chris, hi Tim. My first question relates to the melt utilization rate. I mean you ran at 40% this quarter. You’re thinking you’ll dip below 40% next quarter. How much of that low utilization do you think is being driven by destocking either sort of at your company or at your customers level.
Tim Timken: If you look at the step down from third to fourth, a lot of that is just our kind of normal seasonality, so you have people taking times out around the holidays. It’s specifically on the automotive side of the business. The other markets, the industrial and oil and gas markets, we continue to see people truing up their inventories, focusing on working capital going into the end of the year, so it’s probably a little bit of both at this point.
Justin Bergner: Okay. And with respect to sort of your worked out of inventories, I mean would you guess sort of how much utilization was way down in the third quarter by your work down of inventories.
Tim Timken: Yes, I don’t have that number specifically, but it’s a pretty significant part of the difference. Obviously what happened is the second half has come in from a demand perspective, much weaker than we thought. So as a result we cranked down on our inventory build and it’s reduced our melt utilizations. So a significant part of the melt utilization is from inventory destocking from not only our customers, but it gets pushed to us too as we’ve taken out over $100 million of inventory so far this year.
Justin Bergner: Okay, thank you. And then in the fourth quarter do you expect to do further destocking at the TimkenSteel level beyond what would occur per normal seasonality.
Tim Timken: Yes, we do. We expect to take some more inventory out in the fourth quarter.
Justin Bergner: Okay, thank you. Switching gears to the $50 million cost saving plan, I just want to make sure I understood how much headcount you’re anticipating having to reduce with the current restructuring versus the earlier $25 million restructuring in total.
Tim Timken: Yes Justin, this is Chris, I’ll take a shot at that. I mean if you look for the year, as Tim said in his prepared statements, we’re taking out about 380 people for the entire year and a little over 120 in this second wave. So it’s been very significant from a headcount reduction perspective.
Justin Bergner: Okay great, that’s helpful. So if your only taking out sort of a third of the total in the second wave, but your anticipating sort of two-thirds of the total cost savings between the two programs in the second wave, what are the major drivers of the $50 million. Is it just more expensive employees that you’re taking out or are there other ….
Tim Timken: Yes, there’s a whole lot of activities going on; it’s not just headcount reduction. In fact headcount reduction is less than 25%. We are cranking back on a number of different expenses. So manufacturing is another probably 30% and spend across the board is going to be 50% lower. So 50% of the savings is spend, 30% manufacturing and call it the rest is headcount reductions.
Justin Bergner: Okay, thank you, that’s really helpful. And then on the manufacturing side, are you anticipating taking another shift out or doing some sort of intermediate step short of taking out another shift.
Tim Timken: Yes, I won’t get that far down into the weeds, but its various processes we try to idle, reduce outside services, those type of things.
Justin Bergner: Okay, thank you. And would we expect to see that $50 million – when will we expect to see the $50 million run rate of expense savings kicking in on a 100% basis.
Tim Timken: You’ll see it ramp up very significantly in the first quarter and by the second quarter it will be fully ramped up.
Justin Bergner: Okay, great. Thank you for taking all my questions Chris.
Tim Timken: Oh, you’re welcome.
Tim Timken: Thanks.
Operator: Next question is from Phil Gibbs with KeyBanc Capital Markets. Your line is open.
Phil Gibbs: Thanks. Good morning.
Tim Timken: Hey Phil.
Phil Gibbs: On that savings plan, anything baked into Q4 in terms of the guidance that you provided. Any of that $50 million in that number?
Tim Timken: No, very little, very little. It’s really just being implemented now so we won’t see much of anything in the fourth quarter. Again, it ramps up very significantly in Q1 and fully in effect in Q2.
Tim Timken: Yes, the bulk of the people, the salary folks will be impacted and will be talked to. We started communicating yesterday, today and into next week, but there is timing associated with that as well.
Phil Gibbs: Okay, and then when you said Chris that 50% of it is on spend, we’re purely talking OpEx right, not CapEx here.
Tim Timken: Correct, yes, these are expense items.
Phil Gibbs: Okay. And then in terms of your view in the near term, what do you think is most likely restore, call it a healthier level of free cash flow generation. You think it’s going to be volume, price or mix?
Tim Timken: Yes, hopefully.
Tim Timken: Yes, I mean we would have to have a level of market and the first thing that will happen is the inventory burn out in the channels will stop and so that will be issue number one. We need to be above 50% net utilization to start being EBITDA positive, so there is no question; we’re going to have to have some market help.
Phil Gibbs: Okay. And then Tim, any sense in how much your volume degradation this year has been due to import share loss. I mean it sounds like from what you’re saying your market share has been pretty constant, but I don’t really want to lesion anything, but maybe just a general comment.
Tim Timken: No, I think the work that we’ve done, the communication we’ve had with our customers would indicate that where we decide to we are holding share. There is some business that we’ve opted out of, but for the most part really across all of our markets we’re doing a very nice job of maintaining our position with our customers.
Phil Gibbs: Okay, and then just two quick ones. As far as Q4 LIFO expectations, it looks like it was about $12 million of credit in Q3. What do you have baked in for Q4?
Tim Timken: I do not have that, so…
Phil Gibbs: Okay, that’s helpful and then out of that savings plan, how much of that do you think will be related to SG&A. Thank you.
Tim Timken: Yes, overall right, in this plan it’s about 70/30 from a dollar perspective; 70% cost of sales and 30% SG&A.
Phil Gibbs: Thanks for the color guys. I appreciate it.
Tim Timken: Thanks Phil.
Operator: [Operator Instructions] The next question is from Luke Folta, a Private Investor. Your line is open.
Luke Folta: Good morning Tim and Chris.
Tim Timken: Hey Luke.
Tim Timken: Hey Luke.
Luke Folta: Hey. A couple of questions here. When we look at your guidance for the fourth quarter, your LIFO is going to be about half the benefit in terms of the credit and you’re going to have lower shipments pretty meaningfully in both segments. It looks like the midpoint is around the same to what you generated this quarter. So can you give us some sense of what drives the improvement sequentially? If you’d just give us the manufacturing costs that are more in line.
Tim Timken: Yes, I think that’s part of it obviously. The other thing, keep in mind we have some seasonality in the maintenance in Q3 that we won’t have in Q4 and I’ll call that a $7 million improvement. So that’s one of the other main items and then we won’t have the non-cash item that we had in Q3 also.
Luke Folta: What do you expect to operate for the fourth quarter?
Tim Timken: Pardon me.
Luke Folta: What’s the operating rate you’re expecting in the fourth quarter?
Tim Timken: Well, we called somewhere south of 40% is where we see it right now.
Luke Folta: All right, and then I guess heading into 2016, when your thinking about how you position the books next year, it seems to me that you can cost cut and reduce spending and all that will help, but getting off this 40% capacity utilization number is really going to be the key to getting you back to a level of positive EBITDA. I would guess over the last few years you’ve been able to position the book appropriately, high oil and gas consumption environment, and you’ve been probably more focused on mix and now you have been about just trying to seal the mill. Heading into this year there’s obviously less out there. So I guess what I’m asking is, are there product areas where you haven’t really been focused on in the last few years, where you can sort of return to or is there things we can do strategically to result in the significant market share gains to help that utilization rate in the event of things stay with the best employer.
Tim Timken: I think it’s a good question Luke. I think the work that we’ve done over the last, call it five years, to realign our portfolio has helped us, at the high points of the market and at the low points of the market. Now obviously with oil and gas likely to be slow next year with the mining side, likely to be slow next year, we are aggressively looking at all of our markets for opportunities to sell value to our customers. Obviously the mobile side of the business looks a lot better for 2016 and we continue to invest in platform growth there. We’ve got a number of really exciting opportunities ahead of us. So really it’s a matter of taking in the entire playing field, figuring out where our value added model creates value for not only us, but for our customers and our shareholders and then acting accordingly.
Tim Timken: Yes Luke, and then the other factor for ’16 is keep in mind, in the second half of ’15 in particular we’ve had a big inventory burn. So the question is when do we start to see the run rate come through, because the inventory has been burned through.
Tim Timken: I think the other issue too, the impact of raw material volatility in 2015 has been pretty significant. Everybody’s got their own opinion as to what’s going to happen with scrap next year, but my sense is we’ve seen a lot of the downward volatility already play out and so obviously that’s going to help us as we get into more normalized, hopefully stable markets from a raw material point of view.
Luke Folta: Just in terms of how far you can flex Mobile hire into the next year. I’m assuming most that, its auto and a lot of it’s a full diameter stuff. Can you [indiscernible] to where Harrison is operating relative to Faircrest and are you limited to some degree of how far you can improve your tradition into that market because of the asset configuration.
Tim Timken: Yes, we still – I mean we’re running pretty well at Harrison right now on the smaller 6 inch and down size of our range driven mostly by the automotive markets. We still have flexibility there and to the extent that we can identify good profitable business, then obviously we will do our best to service those markets. Right now through the end of the year, we are little bit lighter on the melt side, but that’s just more seasonality than anything and on the rolling side we are running pretty well.
Luke Folta: Okay, and then just I guess lastly on CapEx, $40 million maintenance is what you have given for next year. Are there any items, necessary growth items or other things in addition to that $40 million that you have to do in the event that you really wanted to the strip to bare bones level?
Tim Timken: We are going to be in a better position to talk about the ’16 capital budget at the next call, but needless to say, given the current outlook, we are scrubbing pretty hard. But again we’ll be able to talk to you on the next phone call.
Luke Folta: Okay, great. Thanks a lot for taking my questions.
Tim Timken: Okay, thanks Luke.
Operator: The next question is from Novid Rassouli with Cowen. Your line is open.
Novid Rassouli : Thanks for taking my follow-up guys. I just wanted to touch on imports again. So clearly the domestic sell entry is being negatively impacted by imports in a variety of products. So with demand for SPQs still deteriorating, have imports been exacerbating the inventory levels that need to be destocked or are we seeing imports beginning to abate.
Tim Timken: Yes, I mean we have seen imports slow down a little bit, but obviously it’s still a very significant issue for the North American steel industry as a whole. It certainly doesn’t help when you have some of the big traders bringing in large volumes mostly on the commodity side of what would be our line. But certainly that is a factor that we are looking at as we wrap up this year and get into next year.
Novid Rassouli : All righty, and then on the scrap side you mentioned Tim that there’s been a lot of volatility. So scraps once again have fallen pretty sharply in the past few months. How do you guys see scrap prices trending near term. It seems like prices are low enough that flow should start to slow down. Just curious what the scrap market looks like from your guys view?
Tim Timken: Yes I mean, between now and the end of year, obviously with the prices they are paying right now, I agree that we’ll begin to see some of the flow slowdown. You also got the whole seasonality question when this stuff starts freezing to the ground, it’s a little bit harder to move around. The export side, currency is still keeping a lot of scrap bottled up and I don’t see that changing any time soon and obviously automotive production you got a lot of bushing being generated. So a lot of puts and takes, but again as I said earlier, I think we’ve seen the extreme volatility play its way out at this point. But clearly there’ll be some ups and downs as we get into the early part of next year.
Novid Rassouli : Thanks for taking the questions Tim.
Tim Timken: All right. Thanks Novid.
Operator: [Operator Instructions] And the next question is from Justin Bergner with Gabelli & Company. Your line is open.
Justin Bergner: Good morning again Chris and Tim. I think my questions were answered in the prior set of questions, but I didn’t remove myself from the queue. So all the best for the rest of the year.
Tim Timken: Have a great weekend.
Tim Timken: Thanks Justin.
Operator: The next question is from Phil Gibbs with KeyBanc Capital Markets. Your line is open.
Phil Gibbs: Thanks. On that $75 million in cost opportunities, how much of that would you consider fixed and how much of that would you consider variable. Right now just what could come back with production I guess is the question.
Tim Timken: Yes, I think if you look at – it’s a great question number one. If you look at the cost of sales, quite a bit of the cost of sales stuff, if you look at the whole $75 million is volume related and clearly we’ve got some significant cost reduction tactics. I would say a significant portion of cost of sales items are volume dependant. On the SG&A side it’s probably a little bit more balanced in terms of what is structural and what’s not.
Phil Gibbs: Okay Chris. Thanks so much.
Tim Timken: Thanks Phil.
Operator: [Operator Instructions]. And it appears that we have no further questions at this time. I’ll turn the call back over to the presenters for any closing remarks.
Tim Timken: Well, thank you all for your questions. We appreciate your interest and confidence in the business. I also want to take a moment to thank the employees of TimkenSteel who have worked hard to get us to this point and who even through this difficult time have continued to stay focused on creating value for our customers and our shareholders. We have a strong and unique business model and the actions we’ve discussed today both address the current challenges we face and strengthen the company for the future. If you have any follow-up questions don’t hesitate to contract Tina. Thanks again and have a good day.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.